Operator: Good day and welcome to Resonant's First Quarter 2021 Earnings Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Greg Falesnik from MZ Group, the Company's Investor Relations firm.
Greg Falesnik: Please note, we will be using a presentation during today's call which is accessible on the events page of Resonant's IR website. If you are with us today via phone, please go to the events page to either view or download the presentation to follow along. Turning to Slide 2. Earlier today Resonant released financial results for the first quarter of 2021. The earnings release that accompanies this call is available on the investors section of the company's website at www.ir.resonant.com. Additionally, some of the information in this conference call contains forward-looking statements that involve risks, uncertainties and assumptions that are difficult to predict. Words of expression reflecting optimism, satisfaction with current prospects, as well as words such as believe, intend, expect, plan, and anticipate in similar variations identify forward-looking statements but their absence does not mean that the statements are not forward-looking. Such forward-looking statements are not a guarantee of performance and the Company's actual results could differ materially from those contained in such statements. Several factors that could cause or contribute to such differences are described in detail in Resonant's most recent Form 10-Q and 10-K and subsequent filings with the SEC. These forward-looking statements speak only as of the date of this call and the company undertakes no obligation to publicly update any forward-looking statements or supply new information regarding the circumstances after the date of this call. With that, it is my pleasure to turn the call over to the Chairman and CEO of Resonant, George Holmes. George, the floor is yours.
George Holmes: Thank you, Greg. And thank you everyone for joining us on today's call. I'd like to welcome you to our first quarter 2021 financial results conference call. Joining me on today's call is Martin McDermut, our CFO; and Dylan Kelly, our COO; will be joining the Q&A. Turning to Slide 3. We are off to a momentous start in 2021 working to expand our global footprint of our revolutionary RF filtering technologies as the growth and demand for mobile data continues. Our game changing XBAR RF filter technology is being increasingly recognized as a leading solution to unlock the future of next-generation ultrafast high frequency wireless networks and the applications these networks enable; in particular, for 5G cellular and WiFi 6 applications. To that end, our work with the world's largest RF filter manufacturer to bring the XBAR technology to the market for mobile handsets not only continues to progress but has done so ahead of schedule. Everything from the initial performance, the packaging and expectation for reliability are being met or exceeded. And we're now moving aggressively towards the mass commercialization and high volume manufacturing base of the agreement. More importantly, we now have the ability to expand our current engagement beyond the initial four contracted designs and expect to do so before the end of 2021. In 2020, we sample the first non-Mobile XBAR 5-gigahertz WiFi devices and recently began sampling non-mobile XBAR WiFi 6E or 6 gigahertz devices. As we move through 2021, we look forward to continuing to demonstrate the impressive performance of our designs and formulating new high value partnerships. Breakthrough technology of XBAR is demonstrated by our industry partners who have taken advantage of XBAR simple manufacturing process, applicability to high volume foundries, and fundamental lower cost solutions. In fact, each separate foundries have successfully manufactured our XBAR technologies to date. As I stated on our last conference call, we expect 2021 to be an outstanding year for our XBAR technology. Our solutions were developed to be the best in the industry, and now more than ever, this is quickly being recognized by the market and by the major players within the ecosystem. But as we look at the competitive landscape for addressing the requirements of 5G, 6G mobile, WiFi 5, 6 and 7, Ultra-wideband, and potentially millimeter wave; we believe our XBAR-based solutions will be the best solutions to unlock the true potential for these next-generation wireless networks. Turning to Slide 4. Those who have been closely following the industry know we are in the very early days of 5G when it comes to performance. With the 5G market expected to contribute roughly $7.6 trillion to the global economy over the next decade, it's easy to understand why the investment going into the space on a frontend continues to ramp up. In January, mobile network operators in the U.S. spent over $80 billion to acquire new sub-6-gigahertz RF spectrum on which the next-generation of 5G network services will be built. This was a momentous step in the advancement of 5G network deployments and this validates the national infrastructure of next-generation mobile networks is still in development. But what does that tell us about today 5G? In it's current form, true 5G has yet to expand into many cities. And in few locations where there is 5G coverage, it exhibits subpar performance. In order for networks to reach the high data speeds of true 5G there are several critical items that need to occur and considerations the market needs to address. I've talked a lot about the potential of Resonant's XBAR technology but let me spend a few minutes discussing what this would look like in a world without XBAR-based filters. The newly acquired sub-6-gigahertz RF spectrum I just mentioned is a strong indication that the next wave of 5G deployment will be in the sub-6-gigahertz range. Without XBAR, 5G networks would likely utilize today's aluminum nitride BAW RF filters which were developed specifically for 4G. Due to their limited high frequency RF performance, these legacy filters would require many more base stations deployed across the network to deliver the same coverage and consumer experience. Rolling out these additional base stations would be possible but is an incredibly more costly approach to treat true 5G performance. Further, the spectrum wasted due to interference to creating spectral efficiency would be massive. The inefficiency impact would be in the billions of dollars that isn't just the U.S. Turning to Slide 5. Let me continue under the premise of a world where XBAR does not exist. There is clearly the potential for massive spectral efficiency issues driven by the challenges associated with using RF filters designed with technology developed for 4G on these next-generation networks. Legacy BAW filter technology inherently does not have the required power handling or bandwidth at high frequencies causing devices such as handsets and routers, that utilize these filters, to suffer with degradative connectivity and performance. Now let's compare mobile devices leveraging legacy filter technology against devices with Resonant's state-of-the-art XBAR technology. You will see that the difference in performance is substantial; the delay in mobile download times is just an example of the differences between using legacy filter technologies versus Resonant's XBAR technology. In the modern environment where smart devices, home appliances, connected vehicles, healthcare, and many more applications will rely on optimal speed and low latency; we believe our XBAR technology will be fundamental in meeting the connectivity requirements and performance expected by consumers for these next-generation networks. Turning to slide 6. When we discuss the benefits of XBAR when compared to legacy filter technology, the differences in performance are measurable and can be demonstrated. Let's dive into the exact challenges that existing BAW technologies have when it comes to meeting the bandwidth requirements of next-generation networks. These networks are expected to expand in the higher frequencies 7 to 12-gigahertz range, for example, which XBAR is ideally suited for. Legacy filter technologies would need external components to be added or would require modules with different [indiscernible] in order to operate at these frequencies. Another solution is doping with additional layers or other experimentation with material changes to increase performance. These R&D efforts are very expensive, add unnecessary size, present challenges to reliability, and have the potential for increased signal loss. XBAR on the other hand inherently meet these requirements of these frequencies with it's wide bandwidth capability and high-power handling, ultimately at much lower cost. The results from external lab testing of this WiFi 6E filter data demonstrate why our XBAR-based solution provides substantial rejection of all unwanted signals will not constraint the flow of data. This is why XBAR-based solution showed the best results available in the market. To summarize on Slide 7, we believe Resonant is the only company that has technologies capable of natively meeting the requirements of true 5G, 5 and 6 gigahertz WiFi, and ultra-wideband. Through XBAR we are bridging the gap from today's early rollout of 5G, the co-existing ecosystem of next-generation networks that will bring wide bandwidth, high frequency, low loss and high-power capability. As we've talked about, Resonant's filter design application also reach far beyond mobile, and we continue active discussions with additional potential customers for non-mobile applications which also require high frequency and wide bandwidth performance. Today, our engagements include Tier 1 customers and WiFi and infrastructure applications. In fact, in the first quarter we began sampling fully acoustic WiFi 6E devices with 400 megahertz of bandwidth and 5 gigahertz WiFi filters with 740 megahertz of bandwidth, both with more than 30 DB rejection to potential interferes. We also announced at the beginning of the year that Resonant became a member of the WiFi Alliance, a global non-profit industry association of companies who share the vision of seamless connectivity. Turning to Slide 8. I will briefly comment on ISN, our proprietary design platform, that is the backbone of our capabilities and which serves as a key differentiator for Resonant, allowing us to revolutionize the 3 to 7 gigahertz RF front-end. By leveraging a three-dimensional multi-physics final element modeling tool we're able to generate precise designs at rapid speed with fewer turns in the manufacturing process. The platform enables integration into modules at a pace that we believe is at least twice as fast as the standard imprecise process that is employed by the rest of the industry. This past quarter we have increased the capabilities of our three-dimensional finite [ph] element modeling for acoustic wave filters by 10-fold enabling us to optimize complete filter designs. Today, we believe Resonant is the only company with this capability. Most filter companies utilize simpler models such as COM and Mason or BvD modeling which are empirical design techniques with many iterations limiting the optimization for complete RF solutions. Turning to Slide 9. Over the past year, we focused on building out our intellectual property or IP mode around our technology. This is essential to our operational strategy as we retain all of the IP for our designs we licensed to our customers. We continue the expansion of our robust patent portfolio during the first quarter as we added over 30 additional patents since beginning of 2021. To date, we have over 330 patents issued and pending in the U.S. and internationally. As our XBAR technology is increasingly validated by our partners, we have focused most of this IP growth around XBAR, and we now have more than 175 patents issued and pending for XBAR-related technologies. Moving to Slide 10. Resonant maintains unique position within the RF Filter market, meaning, we do not compete with RF filter manufacturers. On the contrary, we are leveraging our technology platform to enable the world's largest filter manufacturers, and in doing so, hoping the leading global OEMs deliver products into the market with state-of-the-art filters. This strategic approach allowed us to enter into a partnership with the world's largest RF filter manufacturer, late in 2019. To recap the agreement for those newer to our story, the deal consisted of a strategic investment of $7 million in the Resonant, as well as a $9 million multi-year commercial agreement utilizing our XBAR technology. As I mentioned earlier, we achieved the second of four milestones under this agreement in October. This was a critical point of the process as it validated our XBAR filters for 5G with confirm targeted performance, packaging and initial reliability. As a result of this achievement which occurred ahead of schedule, we have been able to monetize the partnership in form of prepaid royalties. To date we have received 50% of the prepaid royalties for the initial contract. As a next step with this partner, we will move to the commercial production phase of the agreement and turn our focus to high volume manufacturing of XBAR-based RF filters for 5G applications. Our work with this partner validates our belief that finding RF filter solutions that can meet the demands high frequency applications is paramount for the industry. Going forward there remains the potential for us to contract with this partner for additional designs this year as we work towards the remaining two milestones of the agreement. Allow me to put the opportunity of this partnership into perspective by observing the competitive landscape of the RF filter manufacturing industry. A few key facts are as follows: 98% of the market for filters and duplexers are controlled by the Top 7 filter manufacturers. Our partner has the largest market share in both categories, controlling 37% of the filter market and 32% of duplexer market. Their filter market share is bigger than the second and third largest filter players combined. Further, our partner has established relationships with some of the world's largest OEMs which allows us to leverage their expertise to bring XBAR into the market versus doing it ourselves. Given these market dynamics, this partner alone represents a potential of over $100 million of annual revenue for Resonant. Turning to Slide 11. I'll conclude this section by highlighting the team we have assembled for Advisory Board which consists of leaders with significant experience in the forefront of the industry. Not only has our advisor team provided us with invaluable guidance on our business strategy but the team has been very active with industry thought leadership. Throughout 2020 and during the first quarter of 2021, our team has led eight roundtable events to discuss the current state of the RF filter market, the main drivers of next-generation networks, and the role XBAR will play in the industry going forward. Many of these event discussions and panels are available for a replay on our website. In February, we expanded our advisory team to welcome several thought leaders to our Technical Advisory Committee. This newly formed committee is focused on expanding Resonant intellectual property portfolio and advancing adoption and development of our XBAR technology. We will continue working closely with them and believe the caliber of the Advisory Board and the Technical Leadership Committee speaks to the value that our technology brings to the market. You can find full biographies of our Advisory Board and Technical Advisory Committee on our website. Now with that, I'll pass it over to our Chief Financial Officer, Marty McDermut for a review of our first quarter 2021 financial results, and what drove them. Marty?
Martin McDermut: Thank you, George. Turning to Slide 12. I'll now provide an overview of our financial results. The amounts I talk about are GAAP except where noted. Billings were $120,000 in the first quarter as compared to $280,000 in the same year-ago quarter. Revenues increased 12% year-over-year to $6,800 in the first quarter as compared to $544,000 in the same year-ago quarter; this was in line with our previously provided guidance. At the end of the first quarter deferred revenues totaled $1.3 million; we estimate that amount will be recognized as revenue over the remainder of the contracts. Research and Development expenses totaled $5.4 million in the first quarter as compared to $5.5 million in the same prior year quarter. The decrease is primarily due to lower personnel costs offset by expanded design activities on our ISN platform, XBAR technology and filter design development. Sales, marketing and administrative expenses totaled $4.1 million in the first quarter as compared to $3.1 million in the prior year quarter. The increase was primarily due to higher personnel costs and costs associated with filing our new Form S-3 registration statement. Our operating loss was $8.8 million in the first quarter as compared to an operating loss of $8.1 million in the prior year quarter. Net loss was $8.8 million in the first quarter or a loss of $0.15 per share based on 59.8 million weighted average shares outstanding, compared to a net loss of $8 million our net loss of $0.18 per share based on 43.8 million weighted average shares outstanding for the prior year quarter. Non-GAAP adjusted EBITDA was a loss of $6.4 million or a loss of $0.11 per share in the first quarter compared to an adjusted EBITDA loss of $6.4 million or a loss of $0.15 per share in the prior year quarter. Cash and cash equivalents totaled $21.6 million on March 31, 2021; remember, we have no debt. On March 31, 2021 we had a total of 68 employees, 16 of whom have a PhD and 47 of whom are part of the technical staff. Over 8.6 million RF filters designed with our ISN platform were shipped to OEMs for our customers in the first quarter of 2021, which is in line with our previous guidance and represents a year-over-year increase of 437%, and a sequential quarterly increase of over 25%. To date, our customers have shipped over 61 million RF filters designed with our ISN platform to their OEM customers, several of which have been identified by third-party tiered on [ph] companies in Tier 1 phones. These amounts represent real production unit volumes that have been shipped and sold by handset manufacturers to consumers, not just sample or distribution shipments. And finally, turning to Slide 13, on the top of guidance. We expect revenues in the second quarter of 2021 to be in line with revenues in the first quarter of 2021. As a reminder, we continue to expect revenues to be non-linear from quarter to quarter as a result of revenue recognition for our prepaid royalty deals. That said, we do expect revenues for the full year of 2021 to grow significantly over full year 2020. Now, I'd like to turn the call back to George for closing remarks. George?
George Holmes: Thanks, Marty. Now let's turn to Slide 14 for what to track as we move through 2021. As you just heard Martti explained, we expect significant growth as we accelerate the pace over what we saw in 2020. Our legacy and foundry programs will continue to grow and provide initial footholds for customer expansion in the XBAR-based relationships. 2021 will be a breakout year for our XBAR technology and we expect continued and ongoing validation from the market that XBAR-based solutions may be the only viable solution to meet the demand, not only 5G, but also 6G, WiFi 5, 6 and 7, ultra-wideband and potentially even millimeter wave. We will expand our relationship with the world's largest RF filter manufacturer as we work with them to build a high volume manufacturing platform for XBAR filters, we will meet the exacting demands of the largest mobile handset OEMs in the world. We expect to secure contracts in 2021 focused on XBAR for non-mobile applications which could include autonomous and electric vehicles and other Internet of Things or infrastructure applications. With that, I'd like to thank you all for joining us today. I look forward to providing updates throughout the year as we continue to gain momentum and work to revolutionize the connection between people and things. With that, I'll hand it over to the operator to begin the question-and-answer session. Operator?
Operator: Thank you. We will now be having a question and answer session. [Operator Instructions] Our first question comes from Tore Svanberg with Stifel. Please proceed with your question.
Tore Svanberg: Yes, thank you and congrats on the continuous progress here. First question is on WiFi 6. I know you're probably working on a lot of different options here but can you share with us other than obviously tracking it from a milestone perspective, what are going to be some of the things to look out for? Are you going to be partnering with somebody or anything you can share with us what would be helpful?
George Holmes: Okay. Great, Tore. Great question, and thank you for the congrats on the progress. I mean clearly, our focus is and has been expanding our footprint of customers for XBAR and XBAR-related technologies. As you recall, we have an exclusivity in the field of mobile until March of next year, well within the design cycles of what most of the major OEMs are looking at today. So the focus we have on WiFi engagement for the non-mobile applications just become more and more important. As we look at it and look at what we're seeing from other company is trying to get out with some of the early products that need these kind of initial deployment application requirements. We're seeing that -- we're just further seeing -- further validation that the XBAR technology with it's wide bandwidth and hyper goods [ph] performance with single acoustic device is just going to provide tremendous advantage for OEMs when they're designing networks. So we're focused on probably the Top 6 or 7 Tier 1 IDMs in the space. Obviously, we have a partnership with the largest as we're focused in the other areas. And we expect that we -- with the engagements we have right now, that we will see very good activity and should be in position to talk about kind of those next customers here in the next six months. Dylan, do you want to talk about just a few minutes to kind of augment my story on WiFi 6E and what we're seeing from a performance advantage perspective of the XBAR-based technologies versus standard aluminum nitride solutions?
Dylan Kelly: Yes, George. As we've been talking about over the last few calls, we see the fundamental difference with XBARs to very large bandwidth than the aluminum standard nitride technology. So that continues to hold, we see no real change in the market there. We announced in this call that we have been sampling our latest iteration of samples for WiFi 6E. Beyond that, for example, there is new interference coming like Apple, their charge [ph] were just recently announced putting UWB broadly into the market, that's another interference source that we need to manage in our filtering that continues to be the evolving story that interferes are getting closer and closer and need better filtering. And so beyond that, if you look around the world different markets, different SKUs are required with different frequency allocations. And we continue to refine our products and working on new samples that address the different market segments around the globe.
Tore Svanberg: Very good. And as my follow-up in relation to the expansion of your relationship with the largest RF filter manufacturer; I know you've sort of passed the second milestone, there's two more. Do you need to sort of get through the last milestone before you expand on that relationship or could there be something before that?
George Holmes: I absolutely think there will be something before that, Tore. I mean as we sit back and look at the work that we did last year and the significance of bringing that kind of second milestone in early, it allowed us to start talking about what's next. I mean clearly, we had to prove that we could do what we said we can do with the early performance, reliability and packaging before they want to open up and start looking at new applications. I think what we're seeing today is they are very aggressive looking at new applications as we see the technology continue to move forward. So, I'm very optimistic that we will engage with them this year and see additional devices come into our contracted relationship with them before year-end.
Tore Svanberg: Just one last question…
George Holmes: Which will be in advance to the final two milestones.
Tore Svanberg: Great, thank you. Just one last question for Marty. Marty the SG&A came in a little bit higher; I think that was because of the filing that you mentioned. Should we expect the SG&A to sort of get back to normal in Q2?
Martin McDermut: No, I'm glad you're looking at that after the stock comp because that had a big impact on the quarter. But no, I mean I think we've reached -- we've moved up to a level because of the increased activities and everything that we're working on and you've heard about. But I do expect them to remain fairly constant for the rest of the year.
Tore Svanberg: Great. Thank you.
George Holmes: Thank you.
Operator: Thank you. Our next question comes from Cody Acree with Benchmark Capital. Please proceed with your question.
Cody Acree: Yes, thank you, guys. Congratulations and thanks for taking my questions. Just maybe, if we get to go back to the prior question, I guess the initial question where I think Dylan chimed in. Could you talk maybe at a very base level if you're looking at eight foundries that are able to produce your SAW filters using it a standard SAW process, knowing the limitations that your competitors or the industry or your customer want to -- has had with SAW reaching that 5 to 7-gigahertz bandwidth with -- I'm sorry, frequency range, with the wide bandwidths. What is it that you're doing inherently that is allowing you to get to that bandwidth with the SAW structure and not having to use that vertical propagation that your competitors are using?
George Holmes: Well, first and foremost, Cody, let me congratulate you on your new position and thank you for the question. You know, that is right deep in the heart of the technical aspect of the technology, and clearly, I'm sure you want to hear from me on this, but I'm going to turn that question over to Dylan so we can talk about the technical aspects and address your question. Dylan?
Dylan Kelly: Yes. And I think you nailed it on the scaling issue was SAW. The reason SAW filters have not scaled up these higher frequencies is just the dimension is getting too small and becomes non-manufacturable. What's different is what we feel looks like a SAW filter but it is truly a bulk acoustic wave filter, and so we use the same processing approaches in SAW to realize the most acoustic wave filter. But our geometries are much larger and are easily within the mainstream production capabilities of the SAW fab, so we get together [ph]. The cost structure benefit and these processing of SAW, but then we're getting the performance benefit of BAW, and on top of it with the material that we're choosing, we get larger bandwidth then the existing BAW technologies. Does that answer your question?
Cody Acree: Yes, that's helped a lot, thank you. And maybe for George or Marty, I guess you gave us your units that your customers shipped this quarter. How straightforward -- how linear is the relationship between your revenue in that shipment? When you do the straight math it's about $0.07 per; is that the right way to think about things going forward?
George Holmes: No, actually. I mean as we sit back and look at the devices that continue to get added to that portfolio of devices from our legacy contracts, we're actually seeing some of our later contracts start to move forward into manufacturing, which will have higher ASPs and have the potential to deliver higher dollars to us. Obviously, I stick to the guidance that Marty gave you from a quarter-over-quarter perspective and what to expect for the year. But I think the advantage we're seeing is as we continue to go through the process, we're seeing some of the newer devices start to go through the qualification process, and we're optimistic that they will get into the marketplace here in the second, third and fourth quarters.
Cody Acree: I guess just further along that then, I guess the level of visibility that you have with those it's -- is it in your billings today? Is it conversational with your customers because you're talking about a significant improvement in '21? Yet to-date your first half is going to be kind of flattish, a little bit better with last year; so that is relying pretty heavily on the second half. And your second half last year was pretty strong with that -- that large milestone payments?
George Holmes: Yes, that's a great question and great point, Cody. Obviously, and we highlighted just a moment ago, we expect next -- kind of the next opportunity for expanding the footprint with our Tier 1 kind of flagship customer that will come with it, additional -- if we're successful, it will come with additional prepayments, some of which will get recognized as revenue, most of which will get recognized as billings; so greater cash component into the front-end if we're successful. And then, obviously, if we're successful attracting a second, third and fourth XBAR customer for non-mobile applications, our business model is going to continue down the path of looking for prepaid royalties. So we'd expect that also to be part of that complement that would be contributing to not only billings and cash but also to early revenue recognition for those devices. Does that makes sense?
Cody Acree: It does, it does. And I guess, George, just -- the last one, I'm sorry to get little long here. But when you mentioned the chasing of or targeting the prepaids; given your cash balance today, are the prepaids as important as they were maybe previously? And are you taking an unnecessary discount to get those over the long run?
George Holmes: Well, I think what you would -- what I would tell you is, obviously, there is first mover advantages for anybody to get in first. And you would expect that we would be focused on what the value of XBAR brings to not only our current customers but future customers on a go-forward basis. And the fact that we're in a much better position now because we have proven the technology and we are demonstrating these devices to new customers and not just asking them to bet on the come [ph] that it will be as good as we say it's going to be; puts us in a much better negotiating position. I mean, clearly, the tail will be in the tank [ph], do we -- are we able to sell those next-generation devices for $2.25 million per device. On a prepaid royalty basis, will it be something larger than that or it will be some blend of prepaid and follow-on royalty payments based on execution and delivery of devices that are prepped and ready to go into the market. I think we're looking at all of these, we're keenly focused on it, and the good news is we're in much better position today because XBAR is much closer to a commercially viable solution today than it was two years ago when we signed that initial agreement.
Cody Acree: Sure. Well, thank you guys very much. Appreciate everyone.
George Holmes: Thank you. And congrats, again.
Operator: Thank you. Our next question comes from Anthony Stoss with Craig-Hallum. Please proceed with your question.
Anthony Stoss: Hey, guys. My congrats as well on the continued progress. George, I'm curious on the non-mobile WiFi opportunity, how many different customers you're currently sampling to maybe speak to the size of the pipeline you have towards the second half of the year? Is there any chance of production revenue later on this year? And then, as a follow-up; I'm curious if the eight different foundries that you have, is that really speeding up things and that's why though there is a bunch of traction all of a sudden on the WiFi side?
George Holmes: Great series of questions. Let's start with the last one, first. Obviously, the traction we've gotten with a multitude of different foundries, that clearly allows us to pick and choose given their different capabilities for the different application set. And ultimately, for our customers who they might like to partner with. Obviously, some of those boundaries are part of the vertically integrated ecosystem and some of those are standalone foundries. The good news is, many of the relationships we have now go back six years from some of those early 4G and 3G devices that we actually designed and developed. So on the foundry front, we feel really good that when we come on to a new customer, we can sit back and have a great deal of confidence to say, "Hey, we can transfer XBAR technology to you either via one of our third-party foundries or directly into their ecosystem, very, very quickly." That's kind of the first part. When it comes to kind of the second question, clearly there is a small handful of customers that I think anyone would love to have in their goody bag, some of which are already engaged, many of whom have got something in their own portfolio that they are looking to see if they can make it work. And we're coming in and giving them an alternative that in most cases guys are saying, "Hey, this looks like a very viable alternative that would give us much greater and greater extended performance portfolio." I would tell you that today I feel comfortable saying that we are actively engaged with 80% of the players in the Tier 1 community, and we expect that we'll get at least one, maybe two or perhaps even three to engage with us in the long-term. The good news is we take new players down and bring new ones up into the kind of the XBAR portfolio, it kind of gets -- there is a snowball effect there obviously, nobody wants to be left out and have the only aluminum nitride-based solution that just doesn't natively support the application requirement. And I think what we're seeing right now is, these early entrants leveraging those hybrid-based solutions just don't perform to expectation for the long-term and that just creates greater opportunity for us.
Anthony Stoss: Thanks for that.
George Holmes: I would also say that we're also engaged with the OEMs, not because we hope to sell to them directly because obviously we've noted that in the past, that is not our business model. But engage with them to make sure that we completely understand the challenges that they have and what they're looking for from the device manufacturers, and I think that's just making the overall ecosystem type relationship much, much better. I'm sorry, I cut you off.
Anthony Stoss: No, no, no, that's helpful detail for sure. I'm curious, as time has progressed, do you think George -- or what are you hearing from either your large RF customer or potential customers; has it -- is it the speed of your ISN software platform or is it the ultra-wide bandwidth that is really the most important factor to them or potentially both? I mean, I'm curious if it's changed along the way.
George Holmes: Well, it's interesting. And I'm going to give you the layman's version of it and then I'll ask Dylan to chime in. Clearly, when we got out and started first in the early days showing some of these early XBAR filters with wide bandwidth, I think everybody went wow, that's really interesting, but can anybody build them. Now we've been down that path, we've shown that we can build on a multitude of different foundries, our largest customer has validated it, paid us another big chunk of cash and now we're moving ahead into the mass commercialization phase of their program. I think all of that is good but I think one of the things that has been key, everybody understands the challenges that the filter manufacturers have designing at these higher frequencies and wide bandwidth, and these designs are very, very complex. Looking at the spurious performance of these types of devices being able to model it efficiently; unless you can model it efficiently you can't solve these problems, it's -- it's a hunt and peck type of implementation approach. These 3D tools that we have, I think two years ago when we were talking about ISN people went, "Yes, yes, yes; I've got COM, I've got some of these other tools, they are kind of works for us" but as we move up in frequency, I think we're really seeing that guys are standing up and taking notice because we can identify issues, we can identify what's happening in the fabrication process, and we can turnaround and resolve them very, very quickly; and that's all ISN based. Dylan?
Dylan Kelly: Keeping the bird analogy going, it's kind of the chicken and the egg problem that -- we need ISN to even recognize the opportunity that have XBAR breakthrough, that was really the key to give us the insight. And then, certainly, showing XBAR hardware gets the industry very excited because it's -- you know, seeing is believing, and you have seen this sort of -- this bandwidth and all acoustic solution is quite surprising. But then there is always different requirements for products, by geographic region, by customer; everyone has their own approach to solving a problem. So then you give them the speed argument where I really do believe as George stated in the script, is that the -- we have a very unique capability to do the full 3D simulations of these filters which gives us a very accurate results and ultimately cuts cycles of learning and gets to a faster sample.
Anthony Stoss: Got it. Best of luck, guys. Thank you.
George Holmes: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Raji Gill with Needham & Company. Please proceed with your question.
Raji Gill: Yes, thanks for taking my questions and congrats as well on all the movement and the momentum is going on the business. Marty, a quick question. You talked about kind of 50% of the prepaid royalties starting to kind of hit the model. And that you expect those prepaid revenue depending on the revenue recognition to kind of drive the growth this year. Could you just remind us in terms of the revenue recognition and the timing of that? And then, just as a follow-up, you mentioned that you're kind of turning to the commercialization of the agreement with your -- with that top customer; can you maybe describe a little bit about kind of what the activity has been like? I know you had seen a lot of momentum in the non-mobile market, but how we think about that opportunity as we kind of progressed to the year and going into 2022?
George Holmes: First, let me handle the revenue recognition. It is -- what drives it is RF on these prepaid deals is our activity on a contract, so we get the prepaid in and then we start working on the project and recognize revenue from that. It depends on the length of the contract; I think we're getting better at these things, we're getting smarter, so there can be shorter times to wrap them up so there would be some acceleration there. But it really is you know, hey, we've got -- you know, you've got the one in place we've talked about. We've got more that we're working on, and that's what's going to drive our anticipated growth for the rest of the year going forward. So all -- but it's all dependent on getting more contracts. The other question, we had was the commercialization?
Raji Gill: Yes.
George Holmes: Commercialization of the current contracts.
Martin McDermut: So let me, let me address that just to make sure I think I understood the question, Raji. I mean the -- as we look at the commercialization phase for our current customer, what they're focused on now is getting the manufacturing capability ramped up internally, and starting -- being in a position to sample those first four devices to their customers and gaining traction with them in the marketplace, commercializing it for them. Now for us, that does not change the revenue component because those first four devices have a fixed revenue component, they are $9 million, $2.25 million per device. What it does do for us is that the greater value that they see in their customer base of these devices being recognized for their performance gets them more excited to do not only the next four, the next eight, the next 12, the next 16 devices with us; and as we've historically said, 12 devices at the current ASP cash flows this business, and if we increase the price at some level whether it'd be $2.25 million to $3 million or $2.25 million to some number larger than that, it reduces the total number of devices to cash flow business. And what we've talked about with that one customer alone, we believe they are worth $100 million annually at full volume with full recognition; they are one customer, we believe that opportunity exists with all seven of the Tier 1s. Will we get all seven? Absolutely not. Should we get our unfair share? Well, that's our job, right; so that's what we're focused on, and we won't be satisfied until we do. So, I think what we're seeing here is with these devices going through to the commercialization phase with that Tier 1 customer; it also -- I mean, nobody is quiet out there in the marketplace. OEM's talk all of their -- all their salespeople talk, all their distributors talk, the entire environment starts a ground swell of opportunity, and the more activity our customers have with their customers, the greater activity we get with other IDMs in the space. So we think this commercialization phase is massive from an opportunity generator for us, not only with them but with everybody else. And we've seeing that activity already which is why we're already sampling those WiFi-based devices to the other IDMs in this space. Does that help?
Raji Gill: Yes, that does. It's very helpful. So Dylan, with the expansion of the number of bands and filter requirements on non-mobile devices; the non-mobile market is estimated to be kind of as large as the mobile market. I wanted to get your thoughts on that; I know you're very keen on focusing on that market with WiFi 6, 6E. And then currently, I think last quarter you were working to take the revenue realization to below 20 months from the beginning of the design process which was previously around 24 to 36 months. So wanted to get kind of an updated view on how you're thinking about revenue realization taking it below 20 months? And thanks, again.
Dylan Kelly: We will tackle the market size piece of it. I think what's so interesting about Wi-Fi is that until this generation of WiFi 6, none of the solutions really relied on acoustic filters, they used the older technology of ceramic filters. It is the emerging interference problems that are really mandating the performance that you can get on acoustic solution; so it's a greenfield space for acoustics. And with the elimination of wires in the home and the office, you're seeing access points, CPE devices go from one or two antennas up to 8. So you get one, it's a new market for acoustics; and again, the multiplication factors which is creating really high unit volumes and getting it in the same order of magnitude at least as handset filters. And on the revenue side recognition, I want to pass that one back to George.
George Holmes: Yes. I think what you're talking about here Raji is, the fact that when we look at our original customer engagement strategy and we talked about how long it would take to convert from the time we engage to the time we saw revenues; it was 24 to 36 months. And that's because when we were doing these early engagements, we basically went to customers and said, "Hey, we have an idea. We think we can do a band 3 filter for you. If you trust us, we can engage with you, you can sign us -- sign a contract with us, write us engagement check, and we will develop a filter against your process. You can try it and see if it's good enough. If it is, you can take it and take it to your customers and go through that engagement process" and that whole end-to-end process was 24 to 36 months. The big difference here, and by the way in that timeframe, none of that was based on us doing a validation model in a fab ourselves with our own designs. What we do with XBAR, everything we've done so far; we've gone, we've designed it, we fabricated, we tested it, design fabricated the package, tested it, and taken a tested product to a customer and said here is what we want to build for you in your fab. And so in shortens that engagement cycle, it shortens that development cycle because they don't have to go learn how to go do that. And I believe what we're seeing right now, we're taking minimally kind of 12 months off of it. Probably it's 18 to 24 month timeframe now, down from 24 to 36 months. And I think that will get shorter once guys get into the market with XBAR, and we're doing -- we're laddering on other XBAR-based devices. Just because we'll have that capability already built into their manufacturing flow, will it get less than 12 months now? It won't get less than 12 months, it will be still in the 12 to 24-month phase depending on what the end target market is. Obviously, if you're going into mobile, a lot more goes into the reliability component of those types of devices, not only at the IDM but also at the OEM. When you're talking CPE devices, consumer electronics, kind of a lower threshold of pain as it relates to reliability because those designs turn every 90 days. So -- and they tend to not be life mission critical types of devices as it were. So, I think we'll still see that the lifecycle will still be in the 18 to 24 month timeframe. But obviously, massive reduction in the time to get a product from the time of selling a contract into the marketplace, but probably even more important, the engagement cycle on the frontend is shorter. So there is not a trust me, we think we can do it, it's a -- here is the product, go try it; come back and tell us what you think. That help?
Raji Gill: Yes, that makes total sense. I appreciate all the insight. Thank you.
Operator: Thank you. There are no further questions at this time. I'd like to turn the floor back to George Holmes for any closing remarks.
George Holmes: Great. Thank you, operator. Everyone on today's call, we'd like to thank you again for joining us today. Resonant continues to revolutionize the RF frontend market with it's XBAR technology. And we look forward to keeping you up-to-date on our continued progress on future calls. Thank you, again, and have a great day.
Operator: Ladies and gentlemen, this concludes today's webcast. You may now disconnect your lines at this time. Thank you for your participation, and have a great day.